Presentation:
Operator: Greetings, and welcome to the Valmont Industries Fourth Quarter and Full Year 2018 Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Renee Campbell, Director of Investor Relations and Corporate Communications for Valmont Industries. Renee, please go ahead.
Renee Campbell: Thank you, Kevin. Good morning, and welcome to Valmont Industries Fourth Quarter and Full Year 2018 Earnings Call. With me today are Steve Kaniewski, President and Chief Executive Officer; Mark Jaksich, Executive Vice President and Chief Financial Officer; and Tim Francis, Senior Vice President and Corporate Controller. This morning, Steve will provide a summary of our fourth quarter and full year results. Mark will provide additional details on financial performance and our outlook for 2019. We will conclude with Steve discussing the Valmont-Prospera partnership we announced yesterday, followed by Q&A. A copy of our press release and slide presentation is on the Investors page at valmont.com. And an archive of today's call will be available for the next 7 days. Instructions for accessing the replay are included in the press release. Also, please note that this conference call is subject to our disclosure on forward-looking statements, which applies to today's discussion and will be read in full at the end of this call. I would now like to turn the call over to our President and Chief Executive Officer, Steve Kaniewski.
Stephen Kaniewski: Thank you, Renee. Good morning, everyone, and thank you for joining us. I'd like to begin this morning by thanking our global team of over 10,000 associates for delivering another year of profitable growth in 2018. In what was a transformational year, we made great progress on our three year growth strategy that we announced last March at our Investor Day. With that, let me turn to a recap of our fourth quarter, summarized on Slide 3 of the presentation. Net sales of $697.4 million were 2.5% below last year. Excluding revenues from the Grinding Media business that was divested last April, fourth quarter sales were flat with 2017. Sales growth from pricing actions across all segments and higher volumes in the Engineered Support Structures and Coatings segments were offset by lower project sales in both International Irrigation and the Utility segment. Foreign currency translation negatively impacted revenues by $13 million. Turning to the full year summary on Slide 4, revenues of $2.8 billion were slightly ahead -- slightly higher than last year, with higher volumes in the Engineered Support Structures and Coatings segment contributing to sales growth. In the Irrigation segment, North America sales grew more than 4%. Lower volumes in International Irrigation were mainly due to 2017 projects in emerging markets that do not repeat this year. In the Utility segment, sales were impacted by lower volumes from continued demand for smaller structures and a competitive pricing environment in the North European offshore wind business. Moving to the operations side of the business on Slide 5 of the presentation. During 2018, we substantially completed our operations transformation, which was a major part of our strategy to simplify operations, improve efficiencies in our supply chain and optimize our global business model. These actions primarily impacted our ESS segment. Specifically, during the year, we closed five facilities, including 3 in China and are in the process of closing an additional two by the end of the second quarter, which led to the increase in pretax full year restructuring expenses from $27 million to $42 million. We brought our composite facilities under the central-led operations management team, continuing our commitment to operational excellence and lean deployment across our sites. We expanded our shared service model for back-office functions and finance procurement, logistics and supply chain, completing several actions to streamline cross-regional management teams. And we worked to drive additional lean and agile methodologies throughout our business, while streamlining and improving our internal process. These actions position us well to capitalize on global growth opportunities, enabling us to deploy capital more strategically and to more quickly integrate our acquisitions, all of which benefit our shareholders long term. I would now like to turn the call over to Mark.
Mark Jaksich: Thank you, Steve, and good morning, everyone. My comments regarding the fourth quarter and full year 2018 are based on the adjusted results as outlined at the end of the press release. Turning to Slide 6. Despite fourth quarter sales decreasing 2.5% over 2017, operating income improved by 3.5% or 9.5% of sales. The improvement in the operating income was achieved despite a higher LIFO expense of $1.5 million over 2017 as a result of continued progress on pricing actions across our businesses and cost structure savings as a result of the restructuring actions taken earlier in 2018. Moving to full year results. Sales were slightly higher than 2017. The net impact of acquisitions and divestitures on sales was minimal, as the sales contribution from the 2018 acquisitions was essentially offset by lower sales in the Grinding Media business, which was sold in April 2018. Adjusted operating income of $269.4 million or 9.8% of sales was comparable to 2017. We are pleased that despite a very volatile steel cost environment this past year, we successfully recovered inflation over the year through effective supply chain, operational and pricing actions. Turning now to the cash flow highlights on Page 7. Operating cash flows through the end of 2018 were $153 million compared to $133.1 million last year and $68.1 million through the third quarter of 2018. The strong finish to the year in cash flows was driven by improvements in working capital and a more stable raw material pricing environment. Turning to capital deployment. A summary of our accomplishments is shown on Slide 8. Capital spending for the year was $72 million, up from $55 million in 2017, driven by investments in the new steel structures facility in Poland and expansion of our irrigation facility in the United Arab Emirates and a new utility concrete structures facility in Fort Meade, Florida, all in support of market growth opportunities. We deployed $143 million towards 6 acquisitions in 2018 and returned $149 million of capital to shareholders through share repurchases and dividends, ending the year with just over $313 million of cash. Our adjusted effective tax rate for the year was 23.6%, slightly lower than our expectation of 25% due to our geographic mix of earnings. Let me now turn to Slide 9 and talk about our 2019 outlook. We expect full year diluted earnings per share to be in the range of $8.10 to $8.90. We’ve expanded our earnings per share range this year to reflect the growing levels of project business in our International Irrigation markets and in the Utility segment. Revenue growth was 7% to 8%, about evenly divided between organic growth and acquisitions, inclusive of Larson and United Galvanizing acquisitions completed this year and net of the 2018 Grinding Media divestiture. Foreign currency translation effects based on current rates is expected to be unfavorable by about $27 million or 1% of sales. Our revenue outlook does not include other potential acquisitions during the year. We expect a 20 to 50 basis point improvement in operating margins with average raw material costs, including grade, expected to be relatively flat in the aggregate to slightly deflationary in 2019 as compared with 2018. Full year free cash flow, given the raw material cost stability outlook, is expected to approximate 1x net earnings. Capital expenditures of $90 million to $100 million include the completion of the expansion projects started in 2018 as well as ongoing lean and agile investments to enhance productivity in both the factories and offices. We expect our after-tax return on invested capital to exceed 10%. Our tax rate is expected to be approximately 25% based on current tax laws and our estimated geographic mix of pretax income. With respect to the first quarter of 2019, there are a couple of tough comp items we'd like to highlight. First, specifically for International Irrigation, we will not have the same level of large project sales this year that we had in the first quarter of 2018, but we do expect project opportunities to commence over the balance of the year. Second, specific to the Utility business, a large project related to hurricane replacement work in the first quarter of last year will not repeat in the first quarter of 2019, but our strong global backlog in that segment supports the revenue growth through the balance of the year. The benefits of our 2018 operations transformation plan will accelerate throughout the year, with expected total savings in 2019 of about $11 million. And with that, I will now turn the call back over to Steve.
Stephen Kaniewski: Thank you, Mark. Looking ahead to 2019, we have a positive outlook for sales and earnings growth in all segments. And general sentiment across our served markets is also positive. Turning to the segments. In Engineered Support Structures, growth is being led by continued government investments in infrastructure development, particularly lighting and traffic and 5G wireless communication site preparation. In North America, we are seeing solid demand in our transportation markets. We are encouraged to see lead times of 10 to 12 weeks, nearly double the average, supported by 50% higher backlog, which is the highest since 2014. We expect market demand in Europe and Australia to be similar to 2018. In the India market, we expect accelerated sales growth throughout the year, driven by improved wireless communications demand and general infrastructure growth. In China, wireless communication demand will remain challenged ahead of substantial 5G rollout. We expect sales to be similar to 2018. In Utility, we expect strong market demand from ongoing investments in grid hardening and record levels of U.S. investment in renewable energy sources. As we all know, project shifts can occur each quarter, but our current global backlog of approximately $370 million supports a positive outlook for 2019. First quarter profitability will be challenged by less favorable project mix compared to 2018 and a continued competitive pricing environment in the offshore wind business. With respect to the offshore wind business, we have a good backlog in terms of volume, but margins will continue to be pressured, and average selling prices are lower compared to prior years. Over the past several months, three major competitors in the northern European region have announced insolvency or have fallen under state ownership. In light of this change, we are continuing our strategic review in 2019 and will provide update each quarter as needed. Moving to Irrigation. We expect North America markets to continue to be muted by low projected net farm income and low commodity prices. We have a good line of sight to a strong pipeline of projects in the Eurasia and Middle East markets, which are expected to accelerate beginning in the second quarter. As always, financing delays can impact timing, but the underlying demand in emerging markets is strong. We also expect an improved market environment in Brazil this year, subject to trade show and government-supported tsunami financing programs outcomes. Moving to Coatings. Global economic growth is expected to drive higher sales. Profitability accretion from last week's acquisition of United Galvanizing will be realized over time, after consideration of costs associated with the transition from our Brenham, Texas facility. Turning to Slide 10. In summary, we expect sales improvements across all our segments in 2019 benefiting from the acquisitions completed over the past year. The associated actions taken this year to transform our global operations have simplified and strengthened our businesses, positioning us for long-term profitable growth. These benefits will accelerate as the year progresses. The long-term drivers for our business in both infrastructure and agriculture remain strong, and we are committed to price leadership throughout 2019. Finally, we continue to drive lean and agile deeper into our business, increasing profitabilities and shareholder return over time. Yesterday afternoon, we announced a new global partnership with Prospera Technologies. Before we open the call for questions, I would like to take a few minutes to talk about this exciting collaboration as the first step in developing a road map to autonomous crop management. Turning to Slide 11. The exclusive partnership between Valmont and Prospera is truly the first of its kind specific to mechanized irrigation. Together, our 2 companies are charting the course to provide growers with autonomous crop management solutions that will generate greater returns by using fewer crop production inputs and resources. Valley Irrigation currently leads the industry with more than 60,000 connected global devices. The intelligence shared between these connections and the pivot, along with the integration of data science, machine learning and artificial intelligence will drive development of real-time crop diagnosis and recommendations, ultimately reducing cost for the grower and increasing yields. Turning to Slide 12. Prospera is an award-winning machine-vision and artificial intelligence company founded in 2014, specializing in ag data and analytics. They're committed to bringing advanced machine learning technology to the agriculture sector, helping growers control and optimize their production. With offices in Tel Aviv, Israel and San Jose, California, the Prospera team has successfully solved crop production issues through their advanced integrated systems and products. Backed by strategic investors, including Cisco, Qualcomm and Bessemer, the team has developed unique analytics and algorithms to provide irrigation and crop growth recommendations to farmers and their advisers. As we know, the pressure of a growing world population demands higher crop yields, and continued constraints on freshwater resources also require greater irrigation efficiencies. Water will remain our focus, as it is still the #1 determinant of crop yield. Our strategy is to lead the transformation of the center pivot from an irrigation machine to an autonomous crop management tool. Growers and the agronomists will be able to understand more specific crop conditions in the field, and ultimately, address the needs of each individual plant on a mass scale. This will lead to the pivot becoming a self-learning machine, using crop inputs from the field and grower to deliver appropriate amounts of water, fertigation and chemigation. An overview of how this technology works can be found on Slide 13. And the critical takeaway is that this technology not only has the ability to acquire and analyze data using proven analytics, algorithms and data layering, it will also send recommendations directly to the field, prompting the grower to take specific actions, which is a first in the industry. As the global leader in mechanized irrigation, we are investing additional resources to support this strategy. We now have a dedicated team of technology territory managers and sales associates to support and educate growers and our dealer network. We have also appointed a Vice President of Global Technology Strategy, whose team is responsible to grow our portfolio of advanced solutions. And we have committed to invest an additional $4 million in research and development in 2019 towards this specific effort, beyond our customary R&D spend of approximately $5 million in the segment. The first milestone on our road map will be anomaly detection, which is launching this spring. Anomaly detection provides visual detection of various issues in the field through satellite, drones and additional connected inputs that a grower may already have. It will be available through a subscription-based model for all brands of pivots. Launching specific technology product to the market, like anomaly detection, and driving product adoption through our world-class global dealer network, are two critical steps on the journey towards autonomous crop management. Through these efforts, we are targeting to reach 1 million acres with machine learning technology by 2020. As the market leader, our partnership with Prospera is a critical step in furthering our strategy of addressable market growth through the development of commercially viable, advanced integrated technology solutions. We look forward to updating you more on the development of our road map and specific product launches in the coming quarters. I will now turn the call back to Renee.
Renee Campbell: Thank you, Steve. At this time, Kevin, you may open up the call for questions.
Operator: [Operator Instructions]. Our first question today is coming from Craig Bibb from CJS Securities.
Craig Bibb:
Stephen Kaniewski:
Craig Bibb:
Stephen Kaniewski:
Operator: Our next question today is coming from Nathan Jones from Stifel.
Nathan Jones:
Stephen Kaniewski:
Nathan Jones:
Stephen Kaniewski:
Operator: Our next question is coming from Brian Drab from William Blair & Company.
Brian Drab:
Stephen Kaniewski:
Timothy Francis:
Brian Drab:
Stephen Kaniewski:
Brian Drab:
Mark Jaksich:
Operator: Our next question is coming from Brent Thielman from D.A. Davidson.
Brent Thielman:
Stephen Kaniewski:
Brent Thielman:
Stephen Kaniewski:
Operator: Our next question today is coming from Jon Braatz from Kansas City Capital.
Jonathan Braatz:
Stephen Kaniewski:
Jonathan Braatz:
Stephen Kaniewski:
Operator: Our next question is a follow-up from Craig Bibb from CJS Securities.
Craig Bibb:
Stephen Kaniewski:
Craig Bibb:
Stephen Kaniewski:
Operator: Our next question is coming from Nathan Jones from Stifel.
Nathan Jones:
Mark Jaksich:
Operator: [Operator Instructions]. Our next question is a follow-up from Brian Drab from William Blair.
Brian Drab:
Stephen Kaniewski:
Mark Jaksich:
Brian Drab:
Mark Jaksich:
Operator: We reached the end of our question-and-answer session. I'd like to turn the floor back over to management for any further or closing comments.
Renee Campbell: Thank you, Kevin. Thank you, everyone, for joining us today. As mentioned, today's call will be available for playback on our website or by phone for the next seven days. And we look forward to speaking with you, again, next quarter. Thank you.
Operator: Included in this discussion are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on assumptions that management has made in light of experience in the industries in which Valmont operates as well as management's perceptions of historical trends, current conditions, expected future developments and other factors believed to be appropriate under the circumstances. As you listen to and consider these comments, you should understand that these statements are not guarantees of performance of results. They involve risks, uncertainties, some of which are beyond Valmont's control and assumptions. Although management believes that these forward-looking statements are based on reasonable assumptions, you should be aware that many factors could affect Valmont's actual financial results and cause them to differ materially from those anticipated in the forward-looking statements. These factors include, among other things, risk factors described from time to time in Valmont's reports to Securities and Exchange Commission as well as future economic and market circumstances, industry conditions, company performance and financial results, operating efficiencies, availability and price of raw material, availability and market acceptance of new products, product pricing, domestic and international competitive environments and actions and policy changes of domestic and foreign governments. The company cautions that any forward-looking statement included in this discussion is made as of the date of this discussion and the company does not undertake to update any forward-looking statements. This concludes today's teleconference. You may disconnect your lines at this time. We thank you for your participation today.